Operator: Good morning, and welcome to Crescent Capital BDC, Inc. First Quarter Ended March 31, 2025 Earnings Conference Call. Please note that Crescent Capital BDC, Inc. may be referred to as CCAP, Crescent BDC or the company throughout the call. I'll start with some important reminders. Comments made over the course of this conference call and webcast may contain forward-looking statements and are subject to risks and uncertainties. The company's actual results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. The company assumes no obligation to update any such forward-looking statements. Please note that the past performance or market information is not a guarantee of future results. I'll now turn the call over to Dan McMahon.
Dan McMahon: Thank you. Yesterday, after the market closed, the company issued its earnings press release for the first quarter ended March 31, 2025, and posted a presentation to the IR section of its website at crescentbdc.com. The presentation should be reviewed in conjunction with the company's Form 10Q filed yesterday with the SEC. As a reminder, this call is being recorded for replay purposes. Speaking on today's call will be CCAP's Chief Executive Officer, Jason Breaux, President, Henry Chung and Chief Financial Officer, Gerhard Lombard. With that, I'd now like to turn it over to Jason.
Jason Breaux: Thank you, Dan. Hello, everyone, and thank you all for joining us. I'll start today's call by summarizing our first quarter results, follow that with some thoughts on the market and touch on our portfolio. In terms of first quarter earnings, we reported net investment income of $16.6 million or $0.45 per share compared to $20.5 million or $0.55 per share in the fourth quarter. This quarter's NII decline was primarily driven by the following factors: the impact of lower base rates resulting from the two FOMC rate cuts during the fourth quarter of last year, the roll off of certain one time and non-recurring items and a reduction in dividend income from the Logan JV resulting from the end of the reinvestment period. The last driver of the quarterly change in net investment income was our loans on non-accrual, which increased to 3.5% and 1.8% of our debt investments at cost and fair value respectively at the end of the quarter. While we are not pleased with the increase in non-accruals, the four names that were added this quarter are all first lien positions and represent less than 1.2% of the total portfolio at fair value and resulted from one off credit events at certain borrowers that were independent from one another. We have consistently taken a preemptive and rigorous approach to both our watch list and reevaluating the accrual status of our investments that have not performed to underwriting expectations, recognizing that there are a wide variety of approaches to how managers think about these categorizations. Looking ahead, we believe that this quarter's earnings are reflective of our earnings baseline in the near term. We have potential near term tailwinds from our SPV asset based facility repricing and rightsizing that we completed at the beginning of the quarter, which Gerhard will discuss in more detail, as well as the full quarter impact of our portfolio at target leverage. As our baseline view, this near term outlook does not reflect the impact of any further loans we may place on non-accrual or changes in base rates. Gerhard will take you through our financial results and outlook in more detail, but let me provide an update on what we're seeing in the market and how we are positioned. Q1 started off as an active deployment quarter. However, our near term expectation for a sustained pickup in M&A has been tempered by tariff announcements by the White House. The 90 tariff pause has prompted some of our sponsors to take a wait and see approach with regards to new platform activity, further adding to the backlog of deal activity that has existed for many PE owned assets. However, we have still seen attractive investment opportunities even following the Liberation Day announcements that fit our core investment mandate of first lien investments in portfolio companies backed by sponsors we have supported through multiple deals. The recent volatility requires us to maintain our selectivity and underscores the importance of consistently applying our underwriting process. For our sponsors, we believe that our tenure in the direct lending space and depth of our relationships, which have been cultivated over decades, underscore our value proposition and the ability to serve as a true partner in developing bespoke capital structures. We continue to lead the majority of our transactions and drive stringent documentation, attributes that are much more difficult to accomplish in the upper middle market BSL replacement segment in our view. Let's shift gears and discuss the investment portfolio. Please turn to slides 13 and 14 of the presentation, which highlight certain characteristics of our portfolio. We ended the quarter with just over $1.6 billion of investments at fair value across a highly diversified portfolio of 191 companies with an average investment size of approximately 0.5% of the total portfolio. Our private credit origination platform activity has provided us the opportunity to nearly double the number of portfolio companies in our portfolio since listing, even after taking into account prior acquisitions. We believe that diversification is an important component of providing stability to our shareholders in order to help mitigate the impact of one off credit events on both our investment income and net asset value. Our top 10 largest borrowers represented 18% of the portfolio as we are believers in modulating credit risk through position size, which we believe has served Crescent well in previous credit cycles. We have consistently maintained an investment portfolio that consists primarily of first lien loans since inception, collectively representing 91% of the portfolio at fair value at quarter end. We continue to focus our investing efforts on non-cyclical industries diversified across 20 broad industry categorizations. Henry will provide some additional detail on this in his comments, but our credit framework has positioned our portfolio in a way that naturally limits our exposure to the most severe and direct impacts of the recent tariff announcements. Finally, our investments are almost entirely supported by well capitalized private equity sponsors, with 99% of our debt portfolio in sponsor backed companies as of quarter end. We have partnered with our sponsors to invest in well capitalized borrowers with significant equity capital beneath us, resulting in a 39% weighted average loan to value across our investments as of quarter end. Please flip to slide 17, which shows the trends in internal performance ratings. Overall, we have seen stability in the fundamental performance of our portfolio, resulting in consistency in our risk ratings and a weighted average portfolio risk rating of 2.1. On the right hand side of the slide, you'll see that one and two rated investments representing names that are performing at or above our underwriting expectations continue to represent the lion's share or 87% of our portfolio at fair value. Moving on to our dividend. We declared a second quarter 2025 regular dividend of $0.42 per share. The dividend is payable on July 15, 2025 to stockholders of record as of June 30. Additionally, the second in a series of three previously announced $0.05 per share special dividends related to undistributed taxable income will be paid on June 13 to stockholders of record as of May 30. We have earned our dividends since CCAP's inception and we note that our NII continues to be in excess of our base dividend in the first quarter. We have prioritized consistency and NAV stability over the long term as opposed to simply delivering a high dividend yield. This principle guided us to not aggressively raise our base dividend when the rate hiking cycle began in 2022. This marks our 37th consecutive quarter of earning our regular dividend at CCAP, which we have accomplished while maintaining NAV per share within a tight band. We are proud of this track record and are focused on earning our dividend for the foreseeable future. Our view is that dividend yields in the BDC space remain elevated given the current base rate outlook and lack of meaningful fundamental headwinds that have been demonstrated in corporate credit portfolios to date. Our positioning has and always will be for the long term. With that, I will now turn the call over to Henry.
Henry Chung: Thanks, Jason. Please turn to slide 15 where we highlight our recent activity. Gross deployment in the first quarter totaled $105 million as you can see on the left hand side of the page, of which 98% was in first lien investments. During the quarter, we closed 10 new platform investments totaling $78 million These new investments are loans to private equity backed companies with a weighted average spread of approximately 565 basis points, reflecting attractive opportunities we are still able to capture while applying the selectivity inherent in our underwriting. The remaining $27 million came from incremental investments in our existing portfolio companies. The $105 million in gross deployment compares to approximately $78 million in aggregate exits, sales and repayments, resulting in net deployment of approximately $27 million for the first quarter. Liberation Day tariff announcements prompted a platform wide bottoms up review of the potential tariff impact on all of our portfolio companies. Given our focus on service businesses with low materials components and cost of goods sold and high free cash flow conversion, the overall direct material exposure is modest at 4%. Additionally, investing in the core lower middle market, both for our US and European portfolio companies, naturally points us to businesses that primarily serve their respective domestic markets, limited exposure to cross border trade from a revenue perspective. We performed a review of the potential exposure through multiple lenses. First, manufacturing businesses that source raw materials from abroad. Second, service businesses that source intermediate or finished goods from abroad. And third, business models closely tied to the transportation of goods or export of goods to the United States. For the vast majority of these businesses, we did identify mitigating factors with the ability to pass through price increases and limited supplier concentration by individual supplier or geography. The ability to increase prices was demonstrable for most of our portfolio during the recent inflationary periods experienced, particularly in labor, which represents a much larger component of direct costs in our portfolio companies than materials. Although the full extent of tariffs, including knock on effects, remain to be fully seen, we believe CCAP's portfolio is well positioned to weather potential volatility. Turning back to the broader portfolio, please flip to slide 16. You can see that the weighted average yield of our income producing securities at cost came down 50 basis points quarter over quarter to 10.4%, reflecting the impact of changes in base rates. As of March 31, 97% of our debt investments at fair value were floating rate with a weighted average floor of 79 basis points, which compares to our 55% floating rate liability structure based on debt drawn with no floors. Overall, our investment portfolio continues to perform well with year-over-year weighted average revenue and EBITDA growth. The weighted average interest coverage of the companies in our investment portfolio at quarter end improved to two times. As a reminder, this calculation is based on the latest annualized base rates each quarter. In terms of managing fixed operating costs, approximately 73% of aggregate revolver capacity was available across the portfolio at quarter end. So our portfolio companies in the aggregate remain well positioned to address fixed charges with operating cash flows and available balance sheet liquidity. With that, I'll now turn it over to Gerhard.
Gerhard Lombard: Thanks, Henry, and hello, everyone. As Jason previously noted, our net investment income per share of $0.45 for the first quarter of 2025 compared to $0.55 per share for the prior quarter. There are four key drivers that drove the change in this quarter's NII. The first driver was lower base rates. Because our investments typically have their coupons reset at the beginning of each quarter, while our floating rate liabilities reset on a daily or monthly basis, there is a lag effect on the full quarter impact from changes in base rates on net investment income. This is best highlighted on slide 16. This was the largest contributor to the quarter's NII decline resulting in approximately $0.04 of net impact. The second driver was the runoff of one-time non-recurring income. Specifically, we had runoff of onetime PIK income from two portfolio companies, which contributed $0.03 of NII last quarter. The third driver was the Logan JV, where dividend income declined by $0.03 per share quarter over quarter. As a reminder, we acquired the Logan JV in connection with our acquisition of the First Eagle BDC in 2023. Its largest investment is a middle market CLO. We preemptively ended the reinvestment period for the CLO at the beginning of the quarter, almost five months before the official expiration of the reinvestment period, given elevated broadly syndicated loan prices at the start of the year. Following the volatility in the broadly syndicated loan market after the Liberation Day announcement, we opportunistically reinvested a portion of the proceeds we had held back to take advantage of attractive entry points for high quality BSL borrowers before the contractual end of the reinvestment period. Going forward, our expectation is that the dividend income attributed to the Logan JV will reduce over time as the CLO deleverages, with potential lumpiness in quarter to quarter distribution amounts. Once the CLO is fully wound down, which we estimate in our base case to take approximately 24 months, we expect to unwind the joint venture and redeploy the proceeds into Crescent's directly originated investment opportunities. The fourth driver was loans we placed on nonaccrual during the quarter, which drove a $0.02 per share decrease in NII on a quarter over quarter basis. As Jason noted in his comments, a diverse portfolio with minimal single obligor concentration helped mitigate outsized impacts to our investment income from non-accruals. Our GAAP earnings per share for the first quarter of 2025 was $0.11 and net investment income of $0.45 was offset by $0.34 per share of net unrealized and realized losses. As of March 31, our stockholders' equity was $727 million resulting in net asset value per share of $19.62. Now let's shift to our capitalization and liquidity. I'm on slide 19. In December 2024, we priced $115 million of new senior unsecured notes broken down into two tranches, $35 million of senior unsecured notes due February 2028 and $80 million of senior unsecured notes due February 2030. Both tranches were fully drawn during the first quarter of 2025. At the April, we rightsized our SPV asset facility from $500 million to $400 million and reduced the spread by 50 basis points from 245 to 1.95. This facility resizing provides us with sufficient capacity to address any potential draws on our unfunded commitments, while minimizing interest expense related to excess unfunded capacity. Our equity structure reflects our target size and leverage with our current equity base today, and we have ensured that our borrowing capacity is consistent with our investment needs. As you can see on the right side of the slide, 76% of total committed debt now matures in 2028 or later, a figure that was 42% two quarters ago, so we're pleased with our progress here. The weighted average stated interest rate on our total borrowings was 6.36% as of quarter end. Pro forma for the SPV facility amendment, the weighted average interest rate would be 6.17%. This quarter's net deployment brought our debt to equity ratio up from 1.19 times in the prior quarter to 1.25 times, which is within our stated target leverage range of 1.1 to 1.3 times. As Jason noted, for the second quarter of 2025, our Board declared a regular dividend of $0.42 per share. Additionally, second of three previously announced $0.05 per share special cash dividend is payable in June. Our existing variable supplemental dividend framework remains in effect as well. Pick up will not pay the Q2 supplemental dividend as the measurement test cap exceeded 50% of the quarter's excess available earnings. And with that, I'd like to turn it back to Jason for closing remarks.
Jason Breaux: Thank you, Gerhard. Historically, in periods of market volatility, Crescent's focus on disciplined credit underwriting, capital preservation, strong free cash flow generation and robust debt service coverage has enabled us to stay on the right side of performance and returns across managers. In closing, we believe Crescent and CCAP will continue to be on the right side of this performance dispersion spectrum over the long term, and we look forward to delivering on that in the quarters to come. As always, we thank you for joining our call today and look forward to connecting with many of you soon. And with that, operator, we can open the line for questions.
Operator: Your first question comes from the line of Paul Johnson of KBW. Your line is now open.
Paul Johnson: On one of the new accruals this quarter, New Era Technology. It was marked around 71, I believe does that reflect the restructuring that was recently announced for that company? And I guess second question to that as well is it looks like it might be more of a non-traditional deal for you. It looks like it might be a potentially larger company than what we normally do. Maybe I'm wrong there, but if you could, give us, I guess, your idea on that as well, that'd be helpful.
Henry Chung: Hey, Paul. This is Henry. Well, with respect to New Era, I'd say the mark, as you noted here, is kind of going to be in line with where we expect to ultimately restructure that name. Just given the timing here, that was reflective of the latest view on the earnings outlook at the time when we did our marks, but I would expect that to be kind of roughly in line. And for your second part of the question, could you repeat which company you were asking about?
Paul Johnson: The same company. Correct me if I'm wrong, but it looks like the company might be a little bit larger than what you've traditionally targeted. You know, just wondering if that's kind of a nontraditional deal or loss there.
Jason Breaux : I'm just trying to clarify here. New Era on our books has not yet restructured. It sounded like you were citing a company that had restructured recently.
Paul Johnson: I guess maybe I'm referencing the wrong one, but I thought that there was a, potential restructuring or something going on with that company. But, if I'm wrong, I can go to the next question.
Jason Breaux : Interesting. We can certainly reconcile and take it offline with you to better understand if we're talking about the same company.
Paul Johnson: Just kind of going along with just the non-accruals, I'm wondering if you could just kind of tell us maybe about the Crescent's just overall approach to working toward a resolution if it's kind of the drive fast toward a solution to protect value or this does the firm kind of take the longer game approach here and sort of willing to fight it out to salvage value here? But wondering kind of what the underlying approach is here with some of these workout situations.
Jason Breaux : Maybe I can start and Henry can chime in. Crescent's approach to difficult situations, typically restructurings, is really first and foremost to preserve our capital. And there are a variety of ways that we can do that. Ideally, if we're partnered with a private equity sponsor that continues to want to support the company, in the form of capital and stewardship, if we feel like they're equipped to do that and the right the right group to do that, we will try to be constructive and find ways to come to an arrangement to, allow them to stay involved. That said, if that is not an available option or it's not, in our view, a value maximizing option, we can go in a different direction, which could be a few different alternatives. It could be to put the company up for sale at that point in time. It could be to reorganize the company through a balance sheet restructuring and take ownership. We've done all of those things in the past, and I would expect to use all of those options at our disposal in any given situation, really with the, foremost interest and priority and being to protect our investment.
Henry Chung: Just to add to that, one thing that we don't do when it comes to taking the approach of non-accrual is just looking to exit via a secondary sale as quickly as possible. Generally, given where our investment focus is being top of the capital structure, there's still significant enterprise value at play in a non-accrual situation, that requires, work and time. And both of those are, obviously, factors that we want to contribute as well as capital to the extent that there's some short term capital need to the business that we can help solve. So I think to answer the first part of your question more succinctly, like, yes, we do take the longer term view, and we're able to do so because of how we're positioned within the capital structure, and able to make sure that we're not doing anything, in a rash manner.
Paul Johnson: Could you just tell us maybe roughly how much of the portfolio has been sort of Crescent led or Crescent sort of originated deals?
Jason Breaux : As I sit here today, about 8% of the total fair value is acquired assets. The remaining 92% are loans that we acquired, we acquired from either First Eagle or Alcentra. There's only there's really only one position of size, from the Alcentra acquisition to date, but the vast majority is, Crescent originated assets.
Operator: Your next question comes from the line of Robert Dodd of Raymond James. Your line is now open.
Robert Dodd: One on Logan first. I mean, can you explain, I get you preemptively end of the reinvestment period, but effectively, the dividend dropped almost 50% sequentially. I get, it's going to wind down and perhaps over the next 24 months. Right? I mean, I would have expected the dividend to decline over that kind of time period rather than suddenly as soon as the- and then declined further from that lower level. So can you explain what was the driver of the big sequential decline given I mean, the fair value of the portfolio was written or the equity position was written up in the quarter versus where it was last quarter. So what was behind that big sequential decline just because the reinvestment period ended?
Henry Chung: There's two components to the Logan dividend, the two largest components. We hold two tranches of the underlying middle market CLO. There's a mezzanine tranche, which provides kind of a stated consistent coupon, and then there's an equity tranche which pays out, based on residual cash flows. The determination date of what the residual cash flows are, there's actually about a month and a half timing mismatch between our quarter end and when those payment determination dates are. So as a result, what you'll see is the most kind of lumpy part of the cash distributions, which are related to the equity tranche. We've seen that really kind of bump around on a quarter to quarter basis. And with the end of the reinvestment period, I think our expectation here is that that's likely going to continue to be the case as the structure de levers. So it's not as if the, the equity tranche has, a stated coupon per se and it's consistently paying out over time. It's the one component of the dividend that we receive is just going to have a little bit more volatility while we're in this deleveraging period for that structure.
Robert Dodd: Understood. Right. I mean and the equity just distributes your, roughly speaking, your ownership share of the residual cash flows. But, I mean, did the cash flows within Logan drop materially? Was it a timing mismatch? Like, I mean, basically, is this 1.2 kind of for now, like, the low and you could see the equity? Is it the low end of the equity trends volatility range? Or it just seems like a pretty big drop given it doesn't sound like I mean, we don't see the details of the portfolio of Logan anymore, but it doesn't sound like the portfolio itself. You did sell some assets, but then you reinvested. I mean, was the income within that vehicle down materially in Q1?
Jason Breaux : Yes. Your observation is correct. The overall holdings of the portfolio and the credit profile, did not change materially on a quarter over quarter basis. As you may already be aware, there are, overcollateralization tests within CLOs. And part of the residual cash flow is for this particular distribution in this quarter, were retained as part of, the overcollateralization tests that are in place within the structure. So, that was really kind of the driver there is that was tests are not tested at quarter end. They're actually tested about a month after quarter end. Then it's just based on when the underlying CLO was actually priced. So I think the view there is or that's really kind of what drove the difference in this particular quarter. And that's why we kind of think of the distributions related to the structure as starting to be a little likely potentially lumpier on a quarter over quarter basis. I will say to the second part of your question, with respect to the $1.2 million distribution kind of a low relative to our expectations. I do think that there is some near term upside. We did mention this during our prepared remarks, but we were able to redeploy some of the cash or the reinvestment proceeds in a pretty favorable time post Liberation Day, which is obviously after quarter end, which we think will provide some lift in terms of the near term outlook for Logan. But overall, when we think about from now until full wind down, we do expect just some lumpiness with the, equity distribution.
Robert Dodd: On the non-accruals, obviously, went up to 3.5% on cost basis. I mean, two on the third value. When I look at your internal ratings for last quarter, the ratings four and five were under 1%, which was basically what one of non-accruals were at that time. So, I mean, all these new non-accruals, was there just kind of a zero visibility heading into to Q2 that there were no warning signs at all on these new problem assets? I mean, can you give us any color on that? Like, because, I mean, obviously, if new non-accruals aren't visible in the internal risk ratings the quarter before, it does raise the question of, are there more to come that we just don't know about and you don't know about yet?
Jason Breaux : Yeah. That's a that's a fair question. And I think how I'd characterize that is the non-accrual that we designated as non-accrual this quarter. They were all prior watch list names. So in terms of the concern around, did these just come completely out of left field? I would say that's not the case. These are companies that we've kind of noted as watch list companies, some for several quarters now. I would say that, when you think about how we determine company going on non-accrual, from our perspective, do we think that there's sufficient near term headwind that's sitting here today, we think that there is risk to us recovering our cost base and investment. And I would say that, for each of these names, there were developments at the respective borrowers not related to one another, but just at the specific borrowers that warranted that redetermination. And as a result, we made that election just given that there was a further deterioration in the in the situation that warranted that classification.
Robert Dodd: I think that's being brutal I mean, flipping it the other way, are any of those assets that were placed on non-accrual still paying cash interest?
Jason Breaux : Let us let us get back to you and take that offline.
Operator: Your next question comes from the line of Finian O'Shea of Wells Fargo. Your line is now open.
Finian O'Shea: If you could let me know what the take is on the cash interest as well, I'd appreciate it. But sticking with the non-accruals, Henry, you named a few potentially challenged sectors last quarter. Software wasn't one of them, but three of these were. Now I know you just sort of outlined to Robert that it was a sort of ongoing determination on their performance. But seeing if anything is going on there more broadly if there's a reckoning on these being too far behind, sponsors not supporting and so forth, just given the concentration in sector and the sort of surprise here.
Henry Chung: Maybe you could clarify the comment on the three being in software, Fin, because I'm looking at the names here, and these were all in different industries, and they're not or two of them are software. But I guess is a question here, are we seeing something more broadly within the software space as a whole?
Finian O'Shea: Yeah. It sounds like I have one wrong. I guess sort of still question applies. It's recent trend we're seeing that a lot of the, let's say, smaller software companies at least are seeing headwinds.
Henry Chung: Yeah. I'll take that in two parts. The first is, for one of the non-accruals within the software space, I'd say that was really just related to the end market. We were just seeing some more challenging kind of demand drivers within specific end market that software company was serving, which we're not heavily indexed to across kind of our broader software allocation as a whole. The other which I think Paul referenced as well, when you are, that's a managed services provider business. So I would think of it as not like a pure play SaaS business, so to speak. And what I would kind of comment on with what we're seeing more broadly in that space as well is there were kind of more company specific drivers there versus any particular issues that we're seeing, like, more broadly across the MSP space as a whole.
Finian O'Shea: I know you mentioned the one-time items were light. Was there any additional headwind with timing of fundings? Or spread compression as the portfolio moved? Just seeing if there's any other headwinds on the top.
Henry Chung: In terms of the deployment, Fin?
Finian O'Shea: Felt like a bit more of a drop than many. I know there's the non-accruals, there's the one time, but seeing if there's any just, thinking about the sort of exit rate into, second quarter, if there were any irregularities in deployments or average portfolio, or spread?
Henry Chung: So average portfolio, for the quarter, our portfolio is obviously or we were net up this quarter. So I think if you were to look at Q2, just assuming all else being equal, there should be a little bit of a kind of pickup just based on aggregate portfolio size. On the spread piece, the way average spread of our new investments for the quarter was 565, which was actually, in excess of what we've seen over the past, two or three quarters here. So, with respect to the spread piece of the equation, we actually saw some kind of good origination and origination activity at attractive spreads during the quarter.
Jason Breaux : That was a little bit, spreads were actually a bit wider in terms of platform deployment, in Q1 versus Q4 for us. And I think we were low 500s in Q4, as Henry said, mid 500s for Q1.
Operator: Our next question comes from the line of Mickey Schleien of Ladenburg Thalmann. Your line is now open.
Mickey Schleien: Jason, I wanted to ask you about your sentiment toward the overall market. We've seen large growth in private BDCs and all that capital that's been introduced into the market. But at the same time, risks have increased. Obviously, volatility has increased. We saw some spread stability. So do you think the market's more imbalanced? What is your outlook for spreads?
Jason Breaux : I probably try to segment the market a bit into different sizes of the middle market. Your first comment on the non-traded BDC inflows, that's no doubt significant. Last time I looked at that, we were looking at probably $3 billion or so a month of inflows, and those are all coming in immediately. And so that's forcing deployment into the market right away as opposed to capital called structure vehicles where call capital's called, as deals become available. That that does put pressure, certainly on spreads. And, what I would say though, however, is in that segment of the market, if you think about where the $3 billion is coming in, it's generally coming in, into managers that are deploying into the upper mid-market, typically companies with EBITDAs of north of $200 million. And not necessarily surprising when you're taking in significant inflows, you've got to deploy and scale. But our estimation is 90% of the inflows are focused on the upper mid-market. So that's one piece that I would I would relay. In terms of outlook and deal activity, we started the year with pretty good activity. And I think there was a fair amount of optimism around, activity for the balance of the year, that was certainly impacted, by April 9, and the 90 day pause, and we're seeing news trickle in, daily or weekly on that. But I do think that that has translated into a fairly meaningful slowdown in deal activity. What did happen was good companies that still came to market were getting deals done in the private market because the public market was shut for a number of weeks. That has seemed to saw somewhat at this point. And what our observation is on the public market is that spreads are a touch wider than where they were pre Liberation Day, maybe 25 bps or so. I wouldn't say that we've seen material widening, or any widening, frankly, on the private side, which always tends to lag a bit. But, my hope is that after we get some resolution on tariffs and or trade deals, that will give some more certainty to the market to start to transact again, which would bring that supply demand imbalance maybe more in line. Where we tend to focus is in lower and core, less competition from certainly the non-traded BDCs with a significant inflow. So, we are still seeing activity, and, we are going to be very selective in terms of what we're doing, particularly because CCAP on its own is a fully ramped portfolio at this point. So, we are sitting next to a $35 billion private credit platform that is still very active in the market and transacting. But, for CCAP's purposes, we will be very selective in picking which deal to participate in going forward.
Mickey Schleien: Jason, if I could follow-up. Given all the uncertainty that's out there, a lot of folks are focused on follow on investments, know, basically in investing in their existing portfolio, particularly since everyone's chasing anything that's doesn't have any tariff risks. So those spreads are probably not as interesting. But another way to invest in your portfolio is to buy back your stock. Is the Board thinking about that? Is the discount meaningful enough for that to start to occur? Any guidance you could give us on that would be helpful.
Jason Breaux : This is something that we continue to evaluate, especially now where our shares are trading relative to where they were trading at the beginning of the year. The buybacks certainly provide short term benefit. And I would note that we've always taken a long term view with CCAP and positioning it for the long term, which includes having a stable equity base. Our goal is to keep our portfolio invested in high quality assets, not chase yield, earn our dividend and generate a stable NAV. We're also mindful of the amount of buybacks we could do given where we are in terms of the size of the portfolio and the leverage profile that we have today. So the short answer is we will continue to look at it, but there are various considerations that we think about in light of a buyback program.
Operator: I'd now like to hand back the call over to Jason for final remarks.
Jason Breaux: Well, thank you everyone for your time and attention today and for the questions. We certainly appreciate your interest, in CCAP, and, we look forward to speaking with you soon.
Operator: Thank you for attending today's conference call. You may now disconnect. Goodbye.